Operator: Greetings, and welcome to RBC Bearings Third Quarter Fiscal Year 2023 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder this conference is being recorded. I would now like to turn the conference over to your host, Josh Carroll with Investor Relations. Please go ahead.
Josh Carroll: Good morning, and thank you, for joining us for RBC Bearings fiscal 2023 third quarter earnings conference call. With me on the call today are Dr. Michael J. Hartnett, Chairman, President, and Chief Executive Officer; Daniel A. Bergeron, Director, Vice President and Chief Operating Officer; and Robert Sullivan, Vice President and Chief Financial Officer. Before beginning today's call, let me remind you that some of the statements made today will be forward-looking and are made under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those projected or implied due to a variety of factors. We refer you to RBC Bearings' recent filings with the SEC for a more detailed discussion of the risks that could impact the Company's future operating results and financial condition. These factors are also described in greater detail in the press release and on the Company's website. In addition, reconciliation between GAAP and non-GAAP financial information is included as part of the release and is available on the Company's website. With that, I will now turn the call over to Dr. Hartnett.
Michael Hartnett: Okay. Thank you, Josh, and good morning, everyone, and welcome to the RBC's third quarter conference call. So net sales for our third quarter for fiscal 2023 were $351.6 million versus $267 million for the same period last year, 31.7% increase. For the third quarter of 2023, sales of our industrial products represented 70% of net sales with aerospace products at 30%. Gross margin for the quarter was $146 million or 41.5% of net sales. This compares to $93.3 million or 35% for the same period last year. Adjusted operating income was $71.6 million, 20.4% of net sales compared to last year of $46.3 million and 17.3%, respectively. Adjusted EPS diluted came in at $1.64 a share. Adjusted EBITDA was $103.3 million, 29.4% of net sales compared to $71.4 million, 26.7% of net sales for the same period last year. During the period, we paid down debt by another $60 million on the term loan and free cash flow was $54.4 million. Turning now to some of our – to our sectors. On the industrial business, [indiscernible] and are seeing continued strength from the OEM sector with RBC Classic industrial up by 14.1%, driven by a semiconductor machinery, energy and mining. Both RBC and Dodge showed a 12-plus percent growth in the industrial distribution revenues. Overall, industrials were up 11.8% with sector growth mitigated somewhat by Europe and some select OEM weakness. On the aerospace and defense side, overall we saw an expansion of 13.2% with aero OEM up 26-plus percent. Demand drivers here are the obvious candidates, large plane builders and their supply chain coming to life as the production of Boeing's 737 and 787 ships rebound. We are at the beginning of this recovery now and pandemic inventories showing less of an impact and production rate increases are well publicized. We expect to see increased demand creating double-digit growth from the plane builders for many quarters to come and we continue to add resources and planning to support increased build rates, build rate-driven demand as well as expanded work statements. In total, RBC saw an organic growth in revenue of 12.7% during the period. There has been some questions about backlog and much of our commercial aircraft business is done, where the backlog isn't represented by the contract and the orders are published on a portal and we ship to those orders. So probably 60% of our business there doesn't ever get into our backlog. Regarding the fourth quarter, we are expecting sales to be $375 million to $385 million. This is becoming an increasingly difficult projection to make now post Dodge acquisition, which means half our sales are stock items where daily shipments are subject to daily orders as opposed to being defined by long-term contracts where quarterly revenues can be well planned. So that kind of puts us into the business of economic forecasting and we do the best we can. I'll now turn the call over to Rob for more detail on financial performance.
Robert Sullivan: Thank you, Mike. SG&A for the third quarter of fiscal 2023 was $56.8 million compared to $41.7 million for the same period last year. As a percentage of net sales, SG&A was 16.1% for the third quarter of fiscal 2023 compared to 15.6% for the same period last year. Looking forward, SG&A as a percentage of sales is expected to be between 15.25% to 15.75% of sales in the fourth quarter. Other operating expenses for the third quarter totaled $18.9 million compared to $35.8 million for the same period last year. For the third quarter of fiscal 2023, expenses included $17.4 million of amortization of intangible assets, $1.2 million of costs associated with the Dodge acquisition, and $0.3 million of other expense. For the third quarter of fiscal 2022, other operating expenses consisted of primarily of $23.5 million of costs associated with the Dodge acquisition, $12.1 million of amortization of intangible assets, and $0.2 million of other items. Operating income was $70.4 million for the third quarter of fiscal 2023 compared to operating income of $15.9 million for the same period last year. Excluding approximately $1.2 million of acquisition costs, adjusted operating income was $71.6 million or 20.4% of sales for the third quarter of fiscal 2023. Excluding approximately $30.4 million of acquisition costs, adjusted operating income for the third quarter of fiscal 2022 was $46.3 million or 17.3% of sales. Interest expense for the third quarter of fiscal 2023 was $20.9 million compared to $11.9 million for the same period last year. We anticipate total interest expense of between $21 million and $22 million for the fourth quarter of fiscal 2023 at an effective tax rate between 23% and 23.5%, excluding discrete your unusual items. For the third quarter of fiscal 2023, the company reported net income of $36.3 million compared to $0.5 million for the same period last year. On an adjusted basis, net income was $53.3 million for the third quarter of fiscal 2023 compared to $40.6 million for the same period last year. Net income available to common stockholders for the third quarter of fiscal 2023 was $30.6 million compared to a net loss of $5.2 million for the same period last year. On an adjusted basis, net income available to common stockholders for the third quarter of fiscal 2023 was $47.7 million compared to $34.8 million for the same period last year. Diluted earnings per share was $1.05 per share for the third quarter of fiscal 2023 compared to a loss of $0.18 per share for the same period last year. On an adjusted basis, diluted earnings per share for the third quarter of fiscal 2023 was $1.64 per share compared to adjusted diluted earnings per share of $1.20 per share for the same period last year. Turning to cash flow. The company generated $60.9 million in cash from operating activities in the third quarter of fiscal 2023 compared to $40 million for the same period last year. Capital expenditures were $6.5 million in the third quarter compared to $14.9 million for the same period last year. We paid down $60 million on the term loan during the period, leaving total debt of $1.46 billion as of December 31, and cash on hand was $82 million. Cumulatively, since November, 2021, we have paid $350 million on the term loan, including a $20 million payment in January of this year. I would now like to turn the call back to the operator for the question-and-answer session.
Operator: Thank you. Ladies and gentlemen, at this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Pete Skibitski with Alembic Global. Please proceed with your question.
Peter Skibitski: Hey. Good morning, guys.
Michael Hartnett: Hey, Pete.
Peter Skibitski: Hey. Mike, maybe you could put your economist hat on for a moment, but you probably see a lot of the macro guys out there are concerned that we could tip into a mild recession later this year. Just wondering if you're seeing anything in your industrial end markets that might indicate that – I know you touched on Europe, but wondering if you're seeing anything else there?
Michael Hartnett: Well, Pete, on our industrial end markets, we're seeing – yes, let me – right now we see a very strong picture from oil and gas and a lot of demand beyond our capacity – substantially beyond our capacity from the oil and gas sector. I suspect that's going to continue given what's going on with the world events. And I personally favor fossil fuels and – so this is one of my favorite market sectors. Getting down, just – we're also seeing strength for mining. Actually the mining is challenging the same manufacturing capacity as oil and gas, so it's – we need to do a little bit of an expansion there. Industrial distribution very steady, some inventory adjustments are going on, but they're small, small impact overall not worth talking about it. Construction of warehouses are down and you've all read the Amazon news and we were a significant provider of hardware for those warehouses. And so that demand, which runs between $15 million and $25 million a year was completely out of our revenues in the third quarter. And we don't expect them to be back in the fourth quarter. So that's the major shift for us. We're seeing a little bit of weakness in semiconductor manufacturing, but that manufacturing capacity that we were opening up is, is being used to productively for industrial distribution where we were a little bit short on product to support that sector. So I think overall, we're just not seeing it. On the defense side, in some sectors it's unbelievably strong, you haven't seen the shipments yet, but we've got a sleepy supply chain that we're trying to wake up there and shake things out and make them happen, and the aircraft build rates, you know what's happening there with Boeing and Airbus and the 737, 787 programs. So that's going to be a double-digit growth sector for us for at least the next eight quarters.
Peter Skibitski: Okay. Got it. That's very helpful. Let me ask my last one on commercial aerospace, Mike, just – it seems like there still is a lot of inventory sitting at Boeing with regard to the Max and the 787, and they've kind of indicated to us kind of their timeframe for getting rid of that inventory, for delivering that inventory. So are you guys still delivering kind of below their stated rate? Like for instance, on the Max, I think they're 31 a month now, but some of that is out of inventory, so I'm just wondering if you guys are still delivering on the Max if ship set worth more in line with 20 a month or so?
Michael Hartnett: No, no. For us it's – and we study this pretty closely to make sure that we've got the right planning in place and steel is really hard to get now. So I mean, you have to be out 12 months on your planning with steel, so you really have to be sharp on these numbers or you're going to create a problem for your customer. So it looks like every time we measure it, we're right in step with their production rate.
Peter Skibitski: Okay. Very helpful. Thanks guys.
Operator: Our next question comes from the line of Kristine Liwag with Morgan Stanley. Please proceed with your question.
Kristine Liwag: Thanks. Mike, you kind of mentioned like, it seems like backlog is no longer the leading indicator when we think about revenue growth. So when you kind of think about forecasting your business, what do you guys have to do differently and how much conviction do you have that you're going to see growth like even with the risk of the mild recession?
Michael Hartnett: Let's take the first question. What do we have to do differently? We actually don't have to do anything differently. The thing that we've evolved to Kristine, is just to understand, for example, when we do a contract with Boeing or Airbus, exactly what mix we have under contract. So we assign a contract with them, it's three years or five years or whatever it is, and we have a certain mix that's – and market share, maybe a 100%, maybe 80%, something like that by contract for those ships. And so because we're working against the portal and not against the backlog, it's really important for us to understand their production rates and their consumption rates of our product so that we can plan our plants to have more product in place as they relieve the product that we have to build their ships. And so that's basically – we've evolved to that over the last five years and I would say five years ago, we were really terrible at this and now we're really, really good at it. And we take that information and we actually [indiscernible] a lot of the subcontractors that use our hardware, our bearings integrated into a subcontractor produced system and then ship that to Boeing or Airbus. And they're planning, they haven't got to this level, let's just put it that way. And so we actually have to call our subcontractors and tell them when to put orders, not in all cases, but in many cases when to put in orders in order to catch up and be in position and not to get quite sure because if they are quite sure they're going to blame the bearing guy that they can't ship that, that piece of hardware they produced because they couldn't get bearings. So we don't want them to do that. And so we do actually look at their content and do the – and help them with their planning. And so that's kind of how we evolved to operate. And so what was the second part of your question?
Kristine Liwag: In terms of confidence, in terms of forecasting, I guess like, the underlying question to that second part is, with the – changing your business, being more book-to-ship, how sensitive is that to the economic environment and would you still see that grow if we're in a mild recession? And how confident do you feel not having a backlog to kind of support that view?
Michael Hartnett: Yes. It depends on sector, and we're very confident on aircraft not – with how to deal with the backlog situation. That's just standard operating procedure now. In terms of where we stand relative to an industrial – mild industrial recession, I don't see a mild industrial recession showing up in the oil and gas area anytime soon. If you look at Dodge, I mean, they're really important markets are grain and aggregate and mining and those are markets that they service principally through industrial distribution. And you look at grain, wheat, corn and rice and soybeans, you look at what's happening in the world, the demand there, I don't see that back in line, that's food. And the world – the U.S. feeds the world and now it has to feed it more with the problems in Ukraine and Russia. And so I think their grain sector is going to be good. When we look at the construction sector, the aggregate sector, and we talk to our sales people, all the cement plants are at a 100% capacity and before the infrastructure built really gets released for commercialization. And so that looks to me like that sector has a net under it. And the other important part of that business is food and beverage. And food and beverage is, it's just a staple. I mean as long as these machines are operating and producing cans and bottles and boxes and transmitting that material that we're a strong part of that business. So I think that Dodge business is very low beta in terms when you look at over the past years, it's so much of what they do is a staple of life. Their revenues were impressively stable over many years. And then when it comes to the…
Kristine Liwag: That’s really helpful color. Sorry, go ahead, Mike.
Michael Hartnett: Yes. When it comes to the aircraft business, I think, what's going on there that kind of speaks for itself. And then our marine business is, they're building, we have 10 Virginia ships in our backlog and we're only showing one-year of Virginia ships, but we have 10 of them.
Kristine Liwag: Yes. It's a lot.
Michael Hartnett: It’s a lot. And we're bidding another 10 or 12, and we're also bidding Colombia. So we have a serious problem in our marine business with regard to our capacity and our footprint. And so we're trying to deal with that right now in terms of staffing and hardware and supply chain and we've got a lot to do in that sector in order to accommodate the objectives of the Navy.
Kristine Liwag: Yes. I mean, it seems like a good problem to have if you've got strong demand. If I could sneak one more in Mike, I mean, on gross margin, I mean, we looked at the quarter, it's 40.8% for the nine months trailing the quarter, and for the actual quarter itself it's 41.5%. I mean, how much of this was, like the synergies that you guys had outlined with the acquisition of Dodge. Can you give us an idea of where you are in that, that synergy extraction and where gross margins could go from here? I mean, your historical target was like what 1 percentage point in gross margin each year? You reinvest 50 basis points, so you have 50 in terms of the net. Is that how we should think about this or should there be more upsides from the synergies? I mean, this is a pretty big jump versus where you were last year.
Daniel Bergeron: Yes. Kristine, hi, it’s Dan. So just to give you a range, Dodge for the last nine – for the nine months ended December 2021 had an average gross margin around 35%, 36%. And for the nine months ended this December, it's around 42.8%. So it's about a 7% to 8% jump in gross margin. So that's not all synergy, but say a big – half of that or more is synergy based on $700 million run rate of sales. You talked in $40 million to $50 million of improvement in gross margin over a 12-month period since we've owned Dodge. So I would say on our low hanging fruit, it's going well on our synergy. On the integration of our sales team, it's going well. There's a lot of activity and I think that's reflected in our industrial growth rates compared to the competition who have already reported this quarter, where there are numbers are significantly under ours for growth rate. We are working on our manufacturing processes and our manufacturing footprint and on being a better sourcer of intercompany activity between Dodge to RBC and RBC to Dodge. And those two are kind of the long point of tens. So we should see the benefit from that activity in fiscal year 2025 and 2026. So I would say we are definitely ahead of schedule and things that we thought were going to be easy to get done aren't that easy, and things that we thought would be very difficult to get done turned out to be a little easier than we thought at first. So I think we're in pretty good shape.
Michael Hartnett: Yes. Kristine, I can add to that a little bit too. And you know we acquired Dodge in November of 2021, and we were at a run rate, an actual rate of sending the previous owner of Dodge $18 million a year to support computer systems and other activities that couldn't be transferred day one. We've had a team of – dozens of internal people and consultants working on putting Dodge on the RBC computer network. And so as of November 1 this year, that was mission accomplished and so that $18 million goes away. So that was a big project that had to be done in a fail safe matter to complete this acquisition. I think this, the second, another area that we're working on is in manufacturing integration. Some of the Dodge plants were very full in terms of floor space, in utilization and we needed to open up the Dodge floor space in some of those plants to capitalize new products or new manufacturing capacity for existing products that where there was market demand, but we're unable to satisfy that market demand because of capacity constraints. So we're in the process of moving some of that, some of their processes to Mexico and to open up the floor space so that they can in source some of their materials that from outside suppliers and increase the throughput capacity for those products. So where Dodge is constrained, it seems that our RBC had a pretty cost effective solution for that. So this year we'll be opening up some of the floor space and some of the Dodge plants by using our Mexican resources. And I think the final thing we did is in November, we ran a manufacturing seminar for a 125 to 150 people in Tennessee for manufacturing management and manufacturing engineers that were selected from our 40 plants with the purpose of presenting and exchanging best practices. And whenever we've done this for the RBC classic business, it's produced amazing results in productivity and each plant seems to be competitive with the other plant with regard to, is absorbing new technology or new techniques in improving their operation. So we expect to see a nice benefit from that seminar.
Kristine Liwag: Great. Thank you for all the color guys.
Operator: Our next question comes from the line of Steve Barger with KeyBanc. Please proceed with your question.
Stephen Barger: Thanks. Mike, you sound pretty optimistic about end markets on both sides of the business, but orders were down 19% sequentially. Can you talk about what parts of the business that came from and has that deceleration extended into 4Q?
Michael Hartnett: Yes. Steve, the biggest impact on the backlog was our marine business. So for marine in September, our backlog was $118 million and in December, it dropped $91 million, so that's $26 million, $27 million drop. And the reason is because we only reflect in backlog what's shippable in the marine product line in the next 12 months. But the gross backlog, marine's total backlog that shippable past 12 months is $179.9 million compared to September of $170 million. So it's actually up $10 million. So it kind of – when we put it in a total backlog, $25 million has a pretty big impact on the overall backlog. It's just mainly due to the timing of shipments on our submarine business and how we account for that. And then Dodge was down about 10. Again, September Dodge was about a $100 million in backlog and they were down to $85 million. So their supply chain was free enough and their capacity and their catching up to their past dues that they had in backlog. So those are the big two contributors.
Stephen Barger: Nothing else really notable from an end-market standpoint as to what decelerated?
Michael Hartnett: No. Steve, it's not decelerating, it's accelerating. We're adding to our legal staff because we have so much contract, so many contracts that have to be inked, negotiated and so there was – we booked a $100 million worth of new contracts between December and January. I suspect those even haven't even hit the backlog yet.
Stephen Barger: Nice. And Dan, your comment on the $50 million in synergy in the past year or so, if I'm remembering right, the original target was $70 million to $100 million over five years. So now that you've had this for a while, has this changed the upside target? I guess in terms of either time or dollars, how are you thinking about what's possible?
Daniel Bergeron: I think we're still target in that range and as Mike said, and what I said a little earlier on some of the [indiscernible], the manufacturing integration that we're doing, it just takes a little longer. You have to pull machines out of one plant, set them up in another plant, teach that plan how to make the product, put it through testing, could be six to seven months, make sure it's acceptable to the marketplace and then be able to supply it to the marketplace. And I think every year we'll just continue to see the activity between the Dodge sales team and the RBC Classic sales team continue to increase where RBC Classic focuses more on OEM type activity and Dodge focuses more on distribution activity.
Stephen Barger: Got it. And if I can just get one more in. It seems like most companies are working on some sort of digital strategy. Do you guys have any initiatives underway at RBC designed to maximize sales efforts or optimize manufacturing from a data collection standpoint?
Michael Hartnett: Yes. Sure. We do it on both sides. On the front-end, Dodge uses the front-end of their warehouse consortium that they're part of, and it's called PTplace, and that's where independent distributors and customers can come through and electronically place orders and get them delivered in 12 to 24 hours. RBC always had eShop or front-end, where our independent distributors also can come online and guaranteed shipping in 12 to 24 months to keep them going. And we've been making more advances on the manufacturing side, on digital, data collection, data mining to better run the plants. So if you walk through one of the plants now and took a tour, you'd see a lot of visual screens, a lot of activity at each manufacturer cell reflecting information from the machines from the operator and where they are compared to the standard that they're running. So I think that part of it has actually become more and more important to our business as we move forward.
Stephen Barger: Has that had a material benefit to margins yet or is that more on the come?
Michael Hartnett: No, it all accrues. No it's accruing to margins.
Robert Sullivan: It all has an impact.
Michael Hartnett: It all has an impact. Exactly right. By reducing touch labor, increase in your efficiencies, and obviously for customers being able to go online, place an order and be able to get their delivery in 12 to 24 months, weeks and days, hours.
Daniel Bergeron: That guy better in a hurry.
Michael Hartnett: Yes. Steve, especially when you have – in some of our plants, we have a lot of robotic operations, and so you don't have any people in that sector for every minute of the operating day. And so you need a screen like this to tell you if there's a problem, if the machine is idle, if it's on set up, and so that the manager can dispatch technicians or other talent to remedy the problem.
Stephen Barger: Great. Thanks guys.
Operator: Our next question comes from the line of Seth Weber with Wells Fargo. Please proceed with your question.
Seth Weber: Hey. Good morning, guys. Thanks for the question. I wanted to go back to the strong gross margin in the quarter. Can you just give us any color on what you're seeing the pricing environment, price cost what your expectations are for price costs going forward, and then just whether you expect to retain price increases if inflation starts to come down? Thanks.
Daniel Bergeron: Yes. Well, I mean, the pricing environment is positive and I think I've said enough on that.
Seth Weber: And so the inflation.
Daniel Bergeron: Yes. And the contracts that we typically negotiate have an inflation index or some metrics tied to some standard bureau of economic standard that allows us to change pricing if there's a change in material cost or if there's a change in labor cost or something else happens, change in volume. So to some extent that's why we have a backlog in our contract – legal side of our contract management because these contracts now are more difficult and timely to manage.
Seth Weber: Okay. I guess maybe just historically in a deflationary environment, have you given back pricing or have you historically held price increases? 
Michael Hartnett: I can't remember a single case where we've given anything back.
Seth Weber: Okay.
Michael Hartnett: Now maybe there is one, but it's just not coming up.
Seth Weber: Okay. And then maybe just pivoting for a minute, just you guys have talked about adding capacity and adding resources and things like that. Can you just level set us kind of where you're are, where you're adding some of these additions and just like how we should think about your – this ramp, I guess, I don't know if it's through next year or just sort of how we should be able to think about your ability to produce higher volumes going forward? Thanks.
Robert Sullivan: Yes. Well, first of all, for the third quarter, our SG&A was a little higher than normal simply because there's – production in sales are usually down because of the number of production days, but SG&A is like constant fixed cost through a quarter. So that – we expect that to normalize into the mid-15s by the end of the fourth quarter. We pretty much stay there. It's a matter of getting on top of your cost base and as we increase our sales and production in a given quarter, we may revisit what we're spending on SG&A and let the company earn more SG&A credit. But we're not going – we're just not going to dump in the SG&A and hope that it gets absorbed, they have to earn it. So everybody understands that. And that's the way it works.
Seth Weber: Okay. So a mid-15% SG&A level is a good way to think about the business going forward?
Robert Sullivan: Yes.
Seth Weber: Okay. All right. Thank you very much guys.
Operator: Our next question comes from the line of Michael Ciarmoli with Truist. Please proceed with your question.
Michael Ciarmoli: Hey. Good morning, guys. Thanks for taking the questions here. Mike, just on this gross margin and what we saw on the quarter, and obviously, piecing together what you just said, everything accrues, so it sounds like on a go forward basis, I mean, I don't want to get out in front of our [indiscernible] here, but it sounds like you've got a new floor here on gross margins, or should we be thinking about anything that might push these margins down, anything from a mix standpoint that we should be looking at?
Daniel Bergeron: I don't think so. I was actually a little disappointed in our gross margin in the quarter, third quarter.
Michael Ciarmoli: Okay, that's good to know. All right, perfect. Just on aerospace, I understand what you said, and earlier this week, we heard spirit kind of spill the beans. I guess they're going to 38 on the Max, then 42 in October. Presumably you're kind of at those rates or prep in and kind of aligned?
Daniel Bergeron: Yes. I mean, spirit spilled the beans. I had the beans right here, but I didn't spill them.
Michael Ciarmoli: Perfect. Just on – I know we've been trying to get at this. You mentioned, Dodge not a lot of backlog, I guess, and I think you talked about the daily orders. I mean, are you noticing anything from those daily ordering trends of late, I mean, I guess we're all trying to figure out here, the global macro backdrop, but what are the daily orders kind of telling you as you're looking real time trying to gauge the health of the industrial markets aside from – I know you talked about the strength in oil and gas?
Daniel Bergeron: Yes. Well the daily orders for Dodge in the month of January, the strength of those orders surprised us.
Michael Ciarmoli: Okay.
Daniel Bergeron: And that was a pleasant surprise. So, again, I have to – I'm forced to do the job that Chairman Powell does for a living and try to figure out what the next two months are going to be like. But that's – January was very positive. We're still constrained at Dodge on very key high margin products that just can't get our leg over the wall on it. And I think we're going to be there for another year.
Michael Ciarmoli: Okay. Last quick one for me. I think you mentioned – so Europe and maybe some specific OEM weakness that you saw anything notable with certain OEMs or just kind of isolated?
Daniel Bergeron: Yes. For Europe, I think the OEM weakness that we saw is pretty much in the machine tools sector.
Michael Ciarmoli: Okay.
Daniel Bergeron: Yes. In China, which is mainly machine tools.
Michael Ciarmoli: Got it. Okay. Perfect. Thanks guys.
Daniel Bergeron: Thanks.
Operator: Our next question comes from the line of Joe Ritchie with Goldman Sachs. Please proceed with your question.
Joseph Ritchie: Thanks. Good morning, everybody.
Michael Hartnett: Good morning, Joe.
Joseph Ritchie: So it sounds like Dodge orders accelerated in January. I'm curious, I was just trying to back into it, but what was Dodge revenue for the quarter and what was it up or down organically?
Robert Sullivan: So Dodge’s revenue in the third quarter was 174.8, and it was up 8% from last year organically.
Joseph Ritchie: Okay, great. That's helpful. And so, I'm just curious, and I know that it is putting your [indiscernible] a little bit, but a lot of the industrial companies that we cover, some of them are kind of flashing yellow on their businesses, downturning or seeing some destock from their distributors. I recognize that two thirds of your industrial sales now go through distribution. So I'd be curious to hear, what you're seeing on the distribution side. I know that you called out a little bit of destock and then how are you thinking about that as we progress through calendar year 2023?
Michael Hartnett: Well, I think the fourth quarter calendar quarter for the distributors is normally an unusual quarter. And we normally see seasonality in that quarter because the distributors are trying to meet some working capital target that they had in order to achieve their bonuses for the year. So they really clamp down on their hardware purchases. And typically the business can't really run effectively there. So you usually see a pretty good snapback in the fourth quarter, and I think that was the January effect and it probably is going to continue through February.
Joseph Ritchie: Got it. Okay. That's helpful. If I could maybe sneak one more in. Your defense business, you called out, I saw in the Q some of the decline there was due to revenue recognition. Like is there any dollar amount, maybe you can kind of quantify, how much of the down revenues were a timing impact?
Michael Hartnett: Yes. We don't have that number in front of us, but I know – on the defense side, I know that some of the operations – in order for us to ship a lot of our product, it has to be bought off by a government inspector. And sometimes our product isn't ready until the third week, sometimes the fourth week of the month. And it's hard to get a government inspector into your plant when it was the third week of the month and the month is December. So we definitely had some of that going now.
Robert Sullivan: Yes. It's about $2 million to $3 million.
Joseph Ritchie: Okay. Great. Thanks guys.
Operator: Our next question comes from the line of Elizabeth Grenfell with Bank of America. Please proceed with your question.
Elizabeth Grenfell: Hi, good morning. I was hoping you could give us a little color on your expectations for revenue growth in the fourth quarter. I think your guide implies somewhere between lower, obviously than it was in the third quarter, and I was just wondering what that's attributable to where you're seeing. Is the slowdown on the items you mentioned earlier or somewhere else?
Daniel Bergeron: It's pretty much the fact that we're not going to see any revenues out of that sector where they were building warehouses as fast as they could build warehouses. As a matter of fact, last July, those same people were visiting us, asking us what it would take to triple our capacity. And so that's kind of a boomer bus area and it's busted right now and that's sort of $15 million to $25 million a year annualized and it doesn't have particularly good margins, so frankly we don't really miss it. 
Elizabeth Grenfell: Okay. And then you hit on – you said there's some past dues that were the Dodge work through. How many past dues are still…
Daniel Bergeron: The level of past due at Dodge?
Michael Hartnett: Their backlog.
Daniel Bergeron: Yes. Their backlog is past due. Those are orders that…
Michael Hartnett: $85 million left in backlog at this point.
Daniel Bergeron: Yes. Those are orders that are shippable, but can't be shipped for reasons that we can't get supply chain organized.
Elizabeth Grenfell: Okay. Got it. Great. Thank you very much.
Operator: There are no further questions in the queue. I'd like to hand the call back to Dr. Hartnett for closing remarks.
Michael Hartnett: Okay, well I appreciate all the interest in the call today and look forward to speaking to you again. I guess that'll be in May. So thanks for your participation and good day.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.